Operator: Good morning, and welcome to Canopy Rivers Fiscal Results Conference Call for the Fourth Quarter and Fiscal Year ended March 31, 2020. I am joined this morning by Narbé Alexandrian, President and Chief Executive Officer; and Eddie Lucarelli, Chief Financial Officer. They will be making some formal remarks following which we will conduct a question and answer session. At this time, all lines are in a listen-only mode [Operator Instructions] This call is being recorded on June, 3, 2020. For your convenience, the press release, MD&A and unaudited consolidated financial statements for the first quarter and fiscal year ended March 31, 2020 are available on the Investor section of Canopy Rivers website at www.canopyrivers.com, as well as on SEDAR. Before we start, please note that remarks on this conference call may contain forward-looking statements about Canopy Rivers and its investee's current and future plans, expectations, intentions, financial results, levels of activity, performance, goals or achievements, or any other future events, trends or developments. To the extent any forward-looking information contained in our remarks constitute financial outlooks, this information may not be appropriate for any other purpose and you should not place undue reliance on such financial outlook. Forward looking statements are made as of the date hereof based on information currently available to management, and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results to differ materially from those expressed or implied by the forward looking statements. Financial outlooks are also based on assumptions and subject to various risks, and the company's actual financial position and results of operations may differ materially from management's current expectations. As a result, Canopy Rivers cannot guarantee that any forward looking statements will materialize. And you are cautioned not to place undue reliance on these forward looking statements. Forward looking information is made as of the date given and except as may be required by law. Canopy Rivers undertakes no obligation to update or revise any forward looking statements, whether as a result of new information, future events or otherwise. For additional information on these assumptions and risks, please consult the cautionary statement regarding forward looking information contained in the company's financial results press release dated Wednesday, June 3, 2020, and the risk factors in the companies MDNA and annual information form dated June 2nd, 2020. Please note that Canopy Rivers reports in Canadian dollars and all dollar amounts expressed today unless otherwise stated are in Canadian currency. I will now turn the conference over to Narbé. Please go ahead.
Narbé Alexandrian: Thank you. Good morning, everyone. And thank you for joining us today and for your interest in Canopy Rivers. This morning, we reported our financial results for the fourth quarter and fiscal year ended March 31, 2020. Before I provide you with some brief highlights for the quarter and portfolio level updates, I want to touch on the global COVID-19 pandemic. Like many businesses, we are navigating through unchartered waters. As a new and growing industry, COVID-19 has certainly affected cannabis companies and all of us in a significant way. Work routines have had to adapt. Cash management has been top of mind. The retail environment has been altered. Supply chains have been disrupted. And the capital market have seen significant volatility. While COVID-19 has had an impact on our business, our team has been working diligently to address the obstacles in the face of this challenge. We remain committed to our core principle, investing in cannabis companies and seeing them through an exit or monetization event. When COVID-19 was declared a global pandemic, we've currently adopted measures to mitigate the impact on our team, our portfolio and our business as a whole where possible. We have been balancing multiple dimensions and actions focusing on employees’ wellbeing and safety, workforce engagement and productivity, business continuity and health, and have taken steps to help us to live up to our mission to create value for our shareholders. We moved quickly to activate our crisis response plan and seamlessly transitioned to a work-from-home program that has allowed us to remain fully operational. We have also been laser-focused on cash management. Anticipating the impacts of the current economic and capital markets climates could have on our business, we proactively made a series of organizational changes designed to optimize our structure, streamline operations, preserve our healthy cash balance and ultimately deliver value to our shareholders. These changes include a material reduction in our operating cash outflows, including a reduction in headcount, Director's compensation, marketing expenses and general corporate expenses of a targeted minimum of 35% from the company's fiscal year 2020 operating cash outflows on a normalized basis. In addition, a focus on generating positive cash flow from operations for fiscal 2021 and finally, a focus on maximizing returns on existing assets. While we currently have a strong cash balance, we believe that these difficult and volatile times call for a proactive approach to our business, and we believe that these changes to our business will strengthen us for the long haul. At our portfolio level and like many businesses, the economic uncertainty spurred by COVID-19 and the resulting broad-based response have highlighted the need to adapt to a new reality. Our portfolio has not been immune to financial and operational stress since the beginning of 2020. All of our portfolio companies have been faced with the challenge of striking a balance between meeting consumer demand, maintaining the health and safety of their employees and managing the financial concerns brought on by the ongoing pandemic. Our team is monitoring how this situation is evolving on a daily basis, assessing how it may impact the individual portfolio companies and helping them to develop scenario plans and implement changes to their business models. While these challenges persist, we have seen some good indications for the industry in the past three months. Early data from the crisis suggests that cannabis with its relative affordability and varied used cases and consumption occasions maybe counter-cyclical, selling well in both good times and bad times. We believe that this data even if an all too early indication speaks to volumes for the industry's fundamentals as we move through these uncertain times. For example, we have seen the emergence of value brands in the Canadian market that provides its customers with high THC levels and a consistent product at a low price. In the third quarter of 2019, value brands represented 6% of flower sales. By the first calendar quarter of 2020, value brands had a increase to be approximately 20% of the market. This is positive news for some of our portfolio companies like Vert Mirabel and PharmHouse that are focused on producing cannabis at a low cost without compromising on quality. While we have seen setbacks in the industry, we continue to believe the current legal global cannabis market has the potential to grow significantly in the near to medium-term with some analysts predicting that it will grow to $200 billion U.S. market in the next five years. Despite this anticipated long-term growth, we're currently seeing cannabis investors employing capital preservation strategies. PitchBook data shows that the number of cannabis venture capitals, cannabis investments dropped by approximately 50% in the first three months of 2020 compared to the same period last year. Medium deal size experienced the similar declines, dropping $1.2 million year over year. In addition to the capital preservation, we're also seeing a shift in investment strategies and trends, with bridge financing and early stage investments becoming more common. Despite a general slowdown in the cannabis investment world, there remains an abundance of opportunities out there. Our deal flow is strong with multiple pitches coming in on a daily basis. Many of these deals represent valuations that are flat, or down rounds or come with exotic structures that are reminiscent of cannabis investing prior to community legalization. We believe this current investment environment is one that we will work to opportunistic deployment of capital, and we look forward to taking advantage of these conditions over the next several quarters when it makes strategic sense to do so. We continue to focus on four specific areas of the cannabis value chain for potential investment. First, the biosynthetic production of cannabinoid, particularly minor cannabinoids that hedge against organic cultivation methods. Second, client science, where there are licensable research and development place with agricultural technology companies that help disrupt the way that we cultivate cannabis today. Third, cannabis brand, as we're starting to see the proliferation of hyper-focused brands to understand their customer base wholly and niche brands that have shown early signs of customer loyalty. And finally, technology companies creating platforms that help cannabis companies scale. We're still very active in meeting and screening new potential investments and have a number of potential investments in our pipeline. We believe that the industry is still in growth mode. The potential applications of the plant are becoming more broadly understood and an increasing number of companies are disrupting how we think about cannabis cultivation, extraction, medicine and consumption. In addition, based on retail data, we believe that there is more cannabis being consumed now than ever before. Whatever headwinds persist, we believe that there is an underlying positive momentum across the sector globally that will help propel disciplined companies focused on fundamentals and achieving the growth strategies. In our view, we are at the forefront of where the industry is heading by supporting a diverse group of cannabis companies as they help drive the industry forward and lay the foundation for a long-term success. During the quarter, we had the following portfolio updates. First, PharmHouse received the license amendment from Health Canada, enabling it to ramp up operations across its 1.3 million square foot automated greenhouse and begin to fulfill its offtake agreements with Canopy Growth and TerrAscend. We remain optimistic about the investment thesis related to PharmHouse. As the industry continues to progress, we believe it is one of only a few highly automated greenhouses in Canada that could become a cost leader while producing consistent cannabis in order to meet growing consumer demand for products in the value category. Moving on TerrAscend strengthened its financial position during the quarter, finalizing a U.S. $33.5 million non brokered private placement in January of 2020. Later in the quarter, its wholly owned subsidiary TerrAscend Canada entered into an $80.5 million loan financing agreement with Canopy Growth Corporation, signaling Canopy Growth’s confidence in TerrAscend’s ability to execute over the long-term. Across the border, TerrAscend also continue to develop its U.S. operations as two of its subsidiaries, one in New Jersey and another Utah, received approval for the processing or cultivation of medical cannabis in their respective states. I'll last update and cultivation is Radicle. Canopy Rivers advanced $1 million to Radicle pursuant to convertible debentures, which is expected to enable Radicle to increase production of it's Gage brands and work towards the launch of other popular brands for which it holds certain exclusive licenses. We remain bullish on Radicle’s product suite and their dedication to providing the consumer with high-quality products. Moving to plant sciences, BioLumic received approval from the New Zealand government to apply its proprietary UV light technology to medical cannabis, and has begun conducting medical cannabis commercial trials. BioLumic also entered into a collaboration with New Zealand's largest medical cannabis company, Helius Therapeutics, and expect to begin conducting medical cannabis trials with them. BioLumic also continues to embed itself as part of the larger agriculture framework through its ongoing collaboration with industry leaders, such as Jews Produce and Bayer Crop Science. Next, ZeaKal announced research results for multi-year field trials of its PhotoSeed technology. The trial showed an increase ability to significantly improve both oil and protein composition in soybeans, while capturing significantly more carbon dioxide. Early indication suggests that the success of ZeaKal’s novel trait PhotoSeed on plants, such as soybean, could be applied to industrial hemp. If our thesis holds and ZeaKal is able to significantly increase oil production in industrial hemp plants, it could be a transformative licensable patent for large-scale cultivation. Lastly, a few updates from the retail position of our portfolio. First, YSS Corp. opened two downtown Calgary flagship stores in January, as well as 17th retail location in Grand Prairie, Alberta in February. Next, Headset and High Duty, both grew their Canadian presence. Headset launched its Inisghts products with British Columbia cannabis retail market and High Duty officially launched new thing in retail outlets, including The Bay, Shopper's Drug Mart and Indigo. In sum, there was good progress made throughout the Canopy Rivers portfolio during the fourth quarter, and we're already seeing this positive momentum continuing into Q1, 2021. I will now hand it over to our CFO, Eddie Lucarelli to review your financial results in more detail. Eddie?
Eddie Lucarelli: Thank you, Narbé, and thank you again to everyone who’s dialed into the call this morning. I hope that you and your loved ones are staying healthy and holding up well during these difficult times. Before I dive into our financial for the quarter, I would like to remind everybody that due to the fact that we do not report financial metrics that are typical of Canadian LPs or U.S. MSO's, which is revenue or cost of goods sold, we posted explanatory materials on our Web site at www.canopyrivers.com that provide a more detailed explanation on how to interpret our financial statements. I also want to reiterate the key theme that Narbé highlighted, which is the acknowledgement that has been in fiscal year for the cannabis industry and for shareholders of cannabis company. Over the course of our fiscal year, which runs from April 1st to March 31st, we witnessed four consecutive quarters of declining stock prices for publicly-traded cannabis companies. As you recall, a significant number of the financial instruments reported on our statement of financial position are measured at fair value each period. And for that reason, this challenging public markets environment that I just referenced certainly had a negative impact on our results. While it is impossible to predict future movements or volatility in cannabis company share prices or capital markets condition, particularly in light of the COVID-19 pandemic, we have been encouraged by the developments that we have seen in trading prices since March 31st and are hopeful that these directional trends will continue. Turning to our financial results for the quarter, I will begin with our operating results. Net operating loss before consideration of equity method investees and fair value changes was $0.9 million for the quarter compared to the $5 million for the same period last year. Operating income before consideration of equity method investees and fair value changes was $2.6 million for the quarter, which is in line with the amount reported for the same period last year. This includes royalty, interest and lease income net of expected credit losses. This income is primarily generated from the company's royalty issuer insurance from Agripharm, Radicle and Tweed Tree Lot, as well as the company's shareholders loan departments. Operating expenses were $3.5 million for the quarter compared to $7.5 million for the same period last year. As previously discussed, we split operating expenses into two categories. The first consists of cash based operating expenses, which are reported as consulting and professional fees and general and administrative expenses. The second consists of non-cash based operating expenses and primarily relates to share based compensation. With respect to our cash based operating expenses, consulting and professional fees were $0.9 million for the quarter compared to $1 million for the same period last year, and general and administrative expenses were $1.3 million for the quarter compared to $1.9 million for the same period last year. As referenced in our announcement last week, we are planning for a significant reduction in cash based operating expenses and for full year 2020. Our shared loss from equity method investees was $3.2 million for the quarter compared to the share of income of $0.5 million for the same period last year. Among other factors, as the year over year movement reflects the ramp up, personnel and other operational resources at PharmHouse. I will note that this line item demonstrates volatility period to period as it may reflect corrections on prior period financial information provided to the company by the equity method investees. Our equity methods investees include our equity interest in PharmHouse, Canapar, Radicle, Leaf Link International, High Beauty and Herbert. As a reminder, pursuing through election available under the relevant accounting standards, we pick up our share of profit or loss one quarter in arrears, meaning that the financial results of our equity method investees that we report to the quarter ended March 31, 2020 relate to their financial results for the quarter ended December 31, 2019. We also recognized $11.2 million in impairment charges this quarter relating to certain active method investees. Economic and regulatory uncertainty in certain jurisdictions, slowdown in retail distribution in both Canada and the United States caused by COVID-19 among other factors and a slower than expected ramp up of commercial activities for certain entities were among the factors that contribute to these current charges. The net change in fair value of financial assets and fair value through profit or loss, the decrease of $16.3 million for the quarter compared to the net increase of 3.1 million for the same period last year. There are several financial instruments in our portfolio that are classified as financial assets at fair value through profit or loss. A detailed breakdown of the fair value changes in the instrument is included in note 11 to our consolidated financial statements. The largest drivers of the net decrease in share value for the quarter were $4.9 million decrease in the fair value of Canapar call option, which is driven by the impact of impairment charge and a net decrease of 7.8 million related to the estimated fair value of the company's royalty interest. As referenced in our consolidated financial statements and MD&A, the slower than expected growth of the cannabis industry and broader economic challenges posed by the outbreak of COVID-19 have increased the risk profiles of the operations of certain counterparties of the royalty agreements. As such we have increased the discount rates and are discounting cash flow models that are used to estimate the fair value of the royalty interest, which is intended to reflect the enhanced risk profile of these assets. I would like to emphasize that the analysis that goes into both impairment calculations and estimations of fair value of royalty interest depends in a large part upon expectations about the future. And in the current environment, uncertainty is heightened. Should different and more reliable information become available or as uncertainty is reduced through the natural passage of time, these impairment charges and fair value decreases could be reversed. After consideration of equity method investees and fair value changes, the company's net operating loss for the quarter was $31.6 million compared to $1.4 million for the same period last year and net loss was $30.5 million or $0.16 per share compared to $1.8 million or $0.01 per share in the same period last year. Below the net loss line, we capture the impact of net changes in fair value of financial assets at fair value through other comprehensive income, which is presented net of that. This line item includes the net impact of fair value changes and our investments and issuance of investees that are publicly traded, including TerrAscend, YSS and JWC. As I previously referenced, share prices of publicly traded cannabis companies trended downward throughout fiscal year 2020 and those trends continued in Q4. As a result, we recorded a fair value decrease of $8.5 million during the quarter, reflecting the required mark to market of these three investments. To the extent that share price volatility for public cannabis companies persist, we expect that we will continue to see significant movement in comprehensive income or loss quarter to quarter. On a net of tax basis, decrease in the fair value of financial assets at fair value through other comprehensive income was $6.5 million for the quarter compared to an increase of $22.4 million for the same period last year. And our total comprehensive loss was $36.8 million for the quarter compared to total comprehensive income of $20.6 million for the same period last year. Shifting briefly to our cash flow activity, there is little movement in our cash position during the quarter. Net cash used in operating activities was $0.7 million. Net cash used in investing activities was $2.4 million, primarily relating to small follow on investments in PharmHouse and Radicle. We ended the quarter with $46.7 million of cash on our statement of financial position. We are all aware that in the current environment, liquidity is essential to weathering the storm, both in the cannabis sector and the broader economic landscape. While we continue to build our pipeline of investment opportunities, competition for investment dollars is tight and we will only deploy our capital and investments that we believe will meet the objective of our guiding principle of shareholder value creation. Total Assets as at March 31, 2020 amounted to $300.4 million. Aside from the $46.7 million cash balance, significant components of total assets included the shareholders loan and promissory notes to PharmHouse with book value of $42.5 million, investments in equity method investees to book value of $50.5, investments in financial assets at fair value through profit or loss to book value of $80.2 million and investments in financial assets at fair value through other comprehensive income with a book value is $64.6 million. Total liabilities as at March 31, 2020 amounted to $2.1 million and we currently have no interest bearing debt, which we believe affords us greater financial flexibility relative to other companies in the sector. Finally, total shareholders' equity or the net book value of assets for accounting purposes as at March 31, 2020 amounted to $298.3 million. I will note that given the method of accounting for certain financial instruments, this net book value includes 50% discount to the value of our investment in tariffs on exchangeable shares in reference to the current trading price of tariffs and common shares and the value of our common equity investment at PharmHouse remain in line with the original accounting cost base of our investments. Based on the closing share price of $1.32 on June 2nd and implied basic market capitalization to Canopy River is approximately $254 million, representing a price that marks to the first book value of approximately 0.9 times. On March 31st, we announced our intention to commence a normal courses issuer bid. This will allow us to repurchase up to $10.4 million of our subordinated voting shares over a 12 month period that commenced on April 2nd. As referenced in our announcement, the launch of the NCIB reflects our view that current share price does not reflect Canopy River's underlying value or future prospects, and it provides us with greater capital management flexibility during an extraordinary time for capital markets. I will end by briefly commenting on our financial outlook. As you may expect, we're not in a position to reinstate guidance at this time and do not expect to be in the near term. In the coming year, we plan to be laser focused on three goals that we believe will position us for long term success. First, a significant and successful operational ramp up at our larger assets, in particular our flagship joint venture, PharmHouse. Second, the successful monetization of certain assets within our portfolio, in particular the redemption of the Vert Mirabel preferred shares, as well as other potential monetization of events. And third prudent financial discipline through the realization of the operating cash outflow targets set forth in last week's announcement. We believe that we are well positioned to be looking back on this call one year from now with the successful of these objectives in a rear view mirror and new and exciting growth opportunities before us. I will now turn it back over to Narbé for commentary on recent developments from Canopy Rivers and our portfolio companies.
Narbé Alexandrian: Thank you, Eddie. Subsequent to the end of the quarter, we have continued to execute on our corporate strategy. In April, we invested in Dynaleo, an Alberta based manufacturer that is focused on white label manufacturing cannabis infused gummies for the Canadian market. Our investment thesis was simple. We believe there is significant demand for gummy products in Canada. Deloitte estimated the Canadian market for edibles and alternative cannabis products could be worth up to $2.7 billion annually, with edibles cannabis products expected to account for $1.6 billion. The popularity of edibles and particularly gummies is evident in certain mature U.S. States where edibles have been available for years. Ad Colorado and California, Headset reported that in 2019, gummies accounted for 55% and 56% of edible sales respectively. Early indications from cannabis 2.0 market suggested that Canadian consumers may replicate these habits. According to Cowen Research confectionary items, including gummies were 90% sold out within an hour of becoming available on the OCS. This momentum has since continued. In April, Cowen reported that the gummies had an 80% percent stock at rates for March, 2020 in the OCS, indicating that producers are struggling to keep up with consumer demand for these products, but not all gummies are produced the same way. Many manufacturers depend on manual labor processes through commercial kitchens, often leading to inconsistent product taste, quality and dosage. Dynaleo on the other hand was built with automation in mind. We see the scale of Dynaleo's 27,000 square foot facility as reflective of its commitment to specialization and indicative of how it intends to achieve the product standardization that we believe will make it a trusted manufacturer of cannabis edibles. At the portfolio level, I would like to provide a brief update. PharmHouse is continuing to ramp up its entire 1.3 million square foot greenhouse. The cannabis industry has seen a lot of capital investment square footage and production capacity. In our view, success won’t be determined by who was selling cannabis first. Instead, success will be achieved by those who can produce consistent cannabis at the lowest cost possible and run a commercial scale operation to bring product to market. Our joint venture partners at PharmHouse have been successful at growing, distributing and marketing produce for decades. While there may be differences between cultivating cannabis and cultivating vegetables, two of the things that are common between the two and the need for this operational excellence and an ability to do it at scale. We believe creating efficiency and delivering consistency will help win in a hyper competitive environment. We believe that PharmHouse will be successful in the pursuit of low cost, large scale, consistent quality production. We'll continue to update investors on PharmHouse’s continued progress in the coming quarters. Moving to Vert Mirabel, the entire 700,000 square foot facility is ramped up with all flower zones being fully functional and in production. As a reminder, 100% of the offtake from Vert Mirabel is currently being sold to Canoppy Growth for distribution in Quebec and across the country. As Canopy Growth has closed some of its cultivation facilities across Canada in the past quarters, we expect that Vert Mirabel will play an increasingly important role in their cultivation strategy. At Canapar, our European investment, the hemp purchased from farmers on a wholesale basis has been harvested and pelletized, and is being stored at Canapar’s facility. The company successfully installed its extraction machinery and was on the path to commissioning the equipments in preparation for extraction before COVID-19 hit Italy. Since then the remaining construction on the project has been on a hold, as Canapar’s facility has been closed since March 2020 due to COVID-19. While Southern Italy where Canapar is located has been better off than some other areas of the country. Canapar still faces some challenges and economic uncertainty. As a result of certain impairment indicators present, including the halt on construction of the facility, we were required to take an impairment write down on our equity investment on in Canapar. Last in May, TerrAscend announced a $30 million non brokered private placement. Last week, as a result of strong investor demand, TerrAscend upsized the offering to approximately $37 million, which was oversubscribed and has since been fully allocated. The company intends to use the proceeds from the offering to fund tariffs and growth initiatives, including its U.S. expansion strategy, capital expenditures, working capital and general corporate purposes. We now have 20 companies in our portfolio across the spectrum of stages within each of their life cycles. Our platform provides public market investors with access to diverse structures and investment opportunities, including production linked royalty and debt and preferred and common equity. We also have a diverse cannabis related geographic exposure in Canada, the U.S, Europe and New Zealand, and however eye on some new jurisdictions that are starting to come online. From an investment strategy perspective, we continue to believe that specialization will drive the cannabis industry forward. As the industry continues to mature, we're starting to see our investment thesis come true. Vertical integration is becoming less and less common. As companies see the increased value that can be created by focusing instead on one or two specific subsegments of the cannabis industry. Our team is focused on tying the specialist firms to one another. We created synthetic vertically-integrated value chain. We believe that as the dollar flows from one portfolio companies to another, it will create a multiplier effect on that same dollar, leading to increases in valuation across the portfolio. We currently have a majority of our portfolio companies working with one another, leveraging each others strengths as they continue to grow. As I discussed earlier, the idea of growth is rooted in every decision we make, whether it is in our optimism for the overall potential of the cannabis industry, the expectations we have for our portfolio companies, our thesis-driven approach to investing, or our high performance culture and team. This is an ideal inflection point for Canopy Rivers. With PharmHouse fully licensed for cultivation and in operation and royalty payments coming in from portfolio companies like Tweed Tree Lot, we are focused on generating positive cash flow from operations in fiscal 2021. That, in combination with the organizational changes we made recently, position Canopy Rivers towards achieving its goal of maximizing its cash on hand. As our venture capital investments continue to mature, some of them may begin to exit via acquisitions or go-public events, which could lead to a potential increase in cash for further investments. In short, we are capable, hungry and excited about the opportunity ahead of us. These are trying times and as you know, and Canopy Rivers has not been immune to the significant economic volatility and uncertainty that we are seeing across the globe today. That said, the fundamentals of our company are sound and the cannabis economy is growing. We're also focused on maintaining our strong cash position by streamlining operations to ensure that we are even stronger and better positioned than we were before. I am confident that the decisions we are making today will put us in a better position to deliver long-term value for our shareholders as we navigate through these difficult times. We plan to continue to capitalize on opportunities that we believe will drive value for our shareholders as we look for further growth in the early days of this budding industry. That concludes our formal remarks. Eddie and I will now be pleased to answer your questions. Operator, please begin the question period.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions]. Your question comes from Graeme Kreindler from Eight Capital. Please go ahead.
Graeme Kreindler: First question I had just as a matter of housekeeping, with respect to the 20% cost savings target, Eddie, you outlined about $1.3 million of SG&A and $900,000 of professional fees. I believe that was the cash portion. So, when we're thinking about this cost saving target, does it make sense to use that as a base to work off of in terms of the cost savings? And then what's the timing of those savings going to look like throughout the next 12 months? Thanks.
Eddie Lucarelli: So for the full year, you would have seen we reported for those two categories that we kind of loosely classify as cash-based operating expenses. So the consulting and professional fees and the G&A that came in just over $10 million for the year. So then you can think about the full year cost reduction in the context of that number, that target applies to that number. Now it is going to take a little bit of time for that to kick in just because of the first few months of the transitionary period as part of fiscal year 2021. But what we'll plan to do is when we do report throughout the year and towards the end of the fiscal year, we'll present that normalized cash outflow number and reconcile it back to the reported SG&A, and that's where you'll see that 30% reduction target kick in.
Graeme Kreindler: And then just changing topics here. I want you to get a little more granular with respect to PharmHouse. You mentioned the update about PharmHouse getting its license amendment and continuing to ramp up its operation. So just wondering if you could provide any timing with respect to when for sale on the offtake will occur, or has it already occurred already? And then with respect to the JV structure, how we might see that appear on the financial statements or potentially I guess distributions from the JV, see if Canopy Rivers how that all is supposed to work out? Thanks.
Eddie Lucarelli: So the license amendment, which I referred to in the prepared remarks that came through in early March, so that was the catalyst. The facility has the ability to start to ramp up production and begin to serve those offtake agreements. So we're about three months later now. We do anticipate that the first deliveries under those offtake agreements are going to be made to Canopy Growth and TerrAscend later this month, and it’s a great point because these are partnerships we've been discussing for a while and ow we're finally at this stage where execution is beginning to happen. We’ve never given specific guidance on this as exactly how much is PharmHouse going to sell, this is the price et cetera. But we continue to work towards providing that information to the market in a way where the market will be able to understand the financial performance with PharmHouse. And we've kind of talked to in the past, the intent is certainly in the MD&A or press release via through non IFRS measures to disclose PharmHouse's EBITDA over time. Now because we're hitting that first quarter rate now where production and distribution was actually just starting, we imagined this would kick in over the next quarter or two. But certainly the intent is to provide that disclosure in the MD&A or in the press release to give that additional insight into how PharmHouse is performing.
Graeme Kreindler: And then my last question here, I'll sent back in the queue. I guess it's a bit of a two parter. With respect to the cash on the balance sheet at the end of the quarter, and you discussed in the prepared remarks about lots of opportunities for investment, evaluations, rounds being flat to down with some more exotic structures at the same time, having your NCIB in place. With respect to deployment and use of that cash balance, how should we be thinking about which areas are you going to lean into more heavily here, whether that's going to be on the NCIB side or deploying cash for new investments, to get an understanding of what the environment looks like out there and how you're thinking about the use of that cash, which you characterized as definitely one of the strengths relative to what some of the other balance sheets look like out there in the sector right now? Thank you.
Narbé Alexandrian: Why don’t take the part about the investments and I will hand it over to Eddie to talk about a bit more about NCIB. On the investment portion, as mentioned in the prepared remarks, we're seeing a lot of lower valuations, lot of exotic structures on companies. There are some companies that we're seeing some very lucrative structures in place where investors can expect the high return. However, the quality of some of those companies is questionable. They have difficult to understand cash tables, they have structures in place that, converse structure that means they owe a lot of debt coming up and the price of their stock has gone down, the price of their company has gone down, since they first struck that deal more than a year ago. So we're seeing a lot of difficulty in investing in those companies, because of how their capital structure looks and how it's placed out. However, because of the softening of multiples in the public markets and the impact of COVID-19 in some of the difficult situations happening in the U.S. right now, we are seeing that that valuations are continuing to soften. At this point in time, we're likely to sit on our cash balance and view the market as it's playing out, as the Canadian market cannabis 2.0 plays out, as the U.S. market towards legalization plays out, and then we can make a move once we see that the speed and the velocity of change in valuations decrease, and the light at the end of the tunnel with regards to COVID-19.
Eddie Lucarelli: Yes, and just to add onto that. Just in terms of NCIB, as I mentioned in the remarks, we did announced that for the end of March or early April and when we put out the press release last week, just about those organizational changes, we did reaffirmed our intention to utilizing the NCIB. I think NCIB is certainly a prudent capital management tool and that it gives us the right the flexibility to respond to where our share price currently is. And I think as we referenced the data in the public announcements, the implementation of it is certainly a reflection of what we believe to be a disconnect between the underlying value of the company and where the shares have been trading. That said, there are a host of factors that go into the decision of the execution, and Narbé was alluding to them in respect of the idea that we do have a robust investment pipeline. We do want to be opportunistic with our cash and how we use it, and we are in an environment right now where liquidity is constrained in certain ways and cash is more valuable than ever. So, lots of uses to put our cash towards, and I think it's important to reaffirm that the guiding principles and what can we put this cash towards to really generate the greatest value for our shareholders, and that's the purpose that goes into every deployment decision.  
Operator:   Thank you. [Operator Instructions]. There are no further questions at this time. You may proceed.  
Narbé Alexandrian:   So, there are no further questions?  
Operator:   There are no questions. You may proceed with closing comments.  
Narbé Alexandrian:
Operator:   Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines. Enjoy the rest of your day.